Fleetwood Grobler: Good day, and welcome to our Financial Year 2022 Interim Results Call. Thank you for joining us today. I'm joined here today by Paul Victor, our Chief Financial Officer; and members of my executive -- Group Executive Committee. Our results for the period ending 31 December 2021 were published on our website earlier this morning. For the purposes of this conference call, I will highlight the salient features only. Sasol delivered a mixed set of results for the six months ended 31 December 2021, benefiting from a favorable macroeconomic environment and increased demand following the easing of COVID-19 lockdown restrictions globally. These benefits were, however, partly offset by the operational challenge, challenges faced at our SA operations, where coal quality and supply were constrained and resulted in lower fuels and chemicals [production] (ph). We are focused on four key priorities across the business, namely: safety, operational excellence, ESG and shareholder value. On safety, we are saddened by the five workplace fatalities, which occurred during the reporting period and have identified additional leadership focus areas, which are receiving our highest priority to augment our existing High Severity Incident program. On operational excellence, we defined Sasol 2.0, reset our operating model and delivered a strong ramp-up in our U.S. specialty chemicals. The lower production from our South African operations during the period has been disappointing. In the short term, we are prioritizing the business recovery of our South African operations. Our commitment to manage out our cost competitiveness and make it more competitive of our SA integrated value chain to a cash breakeven level to between $30 and $35 per barrel still stacks. Looking at our ESG, our climate change strategy is in place with confirmed medium- and long-term targets. We have defined plans to accelerate the decarbonization of our business and are progressing several partnerships to realize our ambitions. We continue to progress our balance sheet reset and refine our capital allocation framework. Our focus here is to restore the strategy as soon as we are confident that we can do so on a sustainable basis while continuing the few remaining asset divestments. To highlight some of our operational performances, in our energy business, external sales revenue was 47% higher in rand terms due to higher crude oil, refining margins and demand. Mining productivity was 16% lower than the prior period due to safety incidents, higher-than-expected rainfall and slower-than-expected ramp-up of the full calendar operations integrated system called Fulco. The consequence of the reduced coal feed, together with the delayed shutdown and operational instabilities, resulted in lower production volumes at our Secunda operations. We have put in place comprehensive short-, medium- and longer-term plans to address performance challenges. And we are increasing coal purchases to restore the stockpile to target levels. Furthermore, we are bolstering the executive leadership team with a new appointment of a ex-Sasol executive as the Executive Vice President of Mining effective 9 March 2022. This will help stabilize our mining business and advance the recovery plans. In Mozambique, gas production was 1% higher than our plan. External sales revenue across the chemicals portfolio increased 21% in rand terms. Chemicals Africa sales volumes were 15% lower than the prior period, largely due to lower production at both the Secunda and Sasolburg sites. Sales volumes for our Specialty Chemicals business divisions were approximately 60% higher than the prior period due to the continued sales ramp-up. We remain committed to our Sasol 2.0 transformation program to enable the business to be competitive, highly cash generative and able to deliver attractive returns even in a low oil price environment. Approximately ZAR1.8 billion of cash fixed cost savings and ZAR0.5 billion of gross improvement margin were realized for this reporting period. We are well on track to meet the cash fixed cost target for 2022 of ZAR3 billion. However, the gross margin is below the required run rate, mainly as a result of operational challenges impacting our SA value chains. Our capital expenditure will not exceed the range of ZAR20 billion to ZAR25 billion, which we set as an annual target, without any compromise to safety, environmental compliance and commitments and asset integrity. The current underperformance at our mining and Secunda operations is being managed separately from the Sasol 2.0 program. And as I shared earlier, a business recovery intervention is underway. This may require that Sasol 2.0 interim targets be phased and reprioritized to allow for higher value baseline recovery in 2022 and 2023. However, 2025 targets remain intact. At our Capital Markets Day in September '21, we announced our plans to deliver on Future Sasol. Against these commitments, I'm pleased to report the following progress. We are jointly executing 600-megawatt renewables together with Air Liquide for Secunda operations and have completed our Request for Proposal process. On gas, we have recently approved development funds for the first tranche of the additional gas reforming capacity in Secunda. Furthermore, our PSA project in Mozambique is performing to plan with the gas offtake and CTT achieving financial close in December '21. We're also making good progress on the purchasing of 40 to 60 petajoules of LNG, with negotiations underway to enable first gas by 2026. We are exploring a number of green hydrogen coastal [belt] (ph) development opportunities and currently leading the pre-feasibility study for the Boegoebaai green hydrogen development project on the West Coast of South Africa. Sasol plans to produce the first commercial scale green hydrogen in Sasolburg using repurposed electrolyzers by late 2023. And we are evaluating over 10 active new opportunities for sustainable aviation fuel production with two project partnerships already established. To conclude, let me reiterate that despite our short-term challenges, our investment case, which I shared with you at the last year's Capital Markets Day, remains intact. Future Sasol is not built on the promise of new business away from our core but builds on the advantaged and differentiated [future process] (ph) technology as well as today's strong customers' relationships and market positions. I will now hand over to Paul to discuss our financial performance for the period in more detail.
Paul Victor: Thank you, Fleetwood, and good day, ladies and gentlemen. Despite operational challenges we faced, I'm very pleased to say that we still managed to convert a supportive macroeconomic environment into improved profitability. We achieved that with firm cost control, together with the gains of Sasol 2.0 transformation program and ongoing capital and cash discipline. At the same time, we have a good early traction on the repositioning of the business for the transition to a lower carbon world. We believe that we have a strong foundation in place to deliver against the strategy that we announced at the Capital Markets Day last year. We reported an increase in adjusted EBITDA of 71% compared to the prior financial year. Our normalized real cash fixed cost increase of 2% compared to the prior year is mainly as a result of higher maintenance and labor costs. We still remain on track to meet our guidance for the full year of approximately ZAR58 billion to ZAR59 billion. Earnings were enhanced by the impact of remeasurement items, which include a profit on the disposal of our Canadian shale gas asset and the reversal of the impairment relating to chemicals workup and heavy alcohols value chain in South Africa. This was partly offset by unrealized losses on the translation of monetary asset liabilities as well as our hedging activities. Capital expenditure increased by 38% as a result of planned Secunda operation phased shutdowns in the current period as well as the planned U.S. ethylene cracker turnaround. Full year capital expenditure is still expected to be in line with the market guidance of ZAR20 billion to ZAR25 billion for the annum. Core headline earnings per share of ZAR22.52 per share was more than 100% higher compared to the previous period mainly as a result of the impact of the macros on our business. A critical part of establishing a strong foundation pillar is us managing our balance sheet very prudently. We've been very successful in transforming this in the past 18 months, with significant deleveraging results from asset divestments as well as improvements from our operating cash flows. Our asset divestment program is now near to a close with the remaining transactions in the final stages of being concluded, and we can share some details a little bit later on in terms of the progress that we make with those. Our gearing has also decreased to 59.1% compared to 61.5% as of the 30th of June 2021. And the net debt-to-EBITDA is now down to 1.3x with a net bank debt at $5.6 billion. Although the balance sheet is in a much stronger position, we still have some work to do and want to take our absolute debt level to below $4 billion while keeping the net debt-to-EBITDA levels to below 1.5x. We now have line of sight to achieve these metrics, and this will leave us well positioned to ultimately deliver on our strategy and absorb future macroeconomic volatility. Again, just to re-emphasize that our dividend decision is based on a $5 billion net debt level. It is on that basis and particularly with substantial macro volatility very much still at play that the Board has decided not to declare an interim dividend at this stage. We will push hard to deliver the business results that fulfill our capital allocation principles to pay a dividend at our earliest convenient opportunity. In summary, our energy business benefited from the higher export coal prices, our gas sales prices, crude oil prices and higher refining margins, coupled with the increase in demand for products. This was partly offset by the slower ramp-up of Fulco at mining, higher coal purchases and additional cash fixed costs resulting from the Mozambique drilling campaign. In Chemicals, a combination of higher sales volumes in Eurasia and higher sales prices across all regions resulted in a strong performance for this segment despite lower volumes in Africa, resulting from the South African value chain operational challenges, which we experienced. It still makes much more economic sense to upgrade a molecule of coal to a high margin of fuels and chemical products rather than to turn down the product facility. Turning to the outlook for financial year 2022. We are focusing all our efforts on delivering to plan and meeting our market guidance provided. The business recovery plan for the South African operations will be prioritized to ensure that we restore the energy and chemical volumes as communicated. We will continue to prioritize the deleveraging of our balance sheet and to reduce the net debt levels, sustaining net debt-to-EBITDA of 1.5x and driving to net debt levels of below $5 billion by the end of financial year 2022. We continue to make good progress with our hedging of our foreign currency, crude oil and ethane exposures. This increases the certainty of future cash flows and mitigated downside risks to enable our Future Sasol strategy execution. We are reducing our hedge cover ratios for financial year '23 as our balance sheet starts to delever, and we can share more details on that. So I just want to say thank you very much for all for listening to us. And I will now ask tiffany to open the floor for the question-and-answer session. Thank you very much.
A - Tiffany Sydow: Thank you very much, Paul. Good afternoon to all the participants on this call. My name is Tiffany Sydow, and I'll be facilitating the questions today. Thank you for the questions already submitted. [Operator Instructions] The first set of questions pertains to our balance sheet, and I'll direct those at Paul. There are three questions in line, from Giulietta Talevi at Financial Mail. So I'll cover this in one go. The first question is, is the absolute level of debt Sasol carries as much as an issue as the level of gearing if we are to understand reluctance to pay an interim dividend. Can you explain how your hedging works and why it went against you in this period? And the third and last question from her, you've committed to a $30 to $35 a barrel breakeven. Are you there? And if not, what do you have to do to get there? How sustainable is the oil price in your view?
Paul Victor: Hi, Giulietta, I haven't spoken to you in a very, very long time. I hope you're keeping exceptionally well. Thank you for those three questions. Giulietta, when we went to Capital Markets Day of last year, we said that it's not only the gearing level, but also reducing the absolute debt level that's quite critical for us. And we did define as the first immediate step that we want to achieve is a net debt level of 1.5x and below as that was also kind of the reduced levels that our peer group identified. But in addition to that, we also wanted our absolute debt to firstly start to reduce below $5 billion. Although in my speech just now, I did indicate that our ultimate target is to reduce our absolute debt level to $4 billion. Because we do believe in a $55 oil price and a $4 billion debt level, that ultimately the business can execute its strategy and also remain quite robust in those lower oil price environments. So for us, it's always the combination of two. You may argue that a 1.5x net debt-to-EBITDA level is efficient. But unfortunately, in volatile periods with a higher debt level or elevated debt level, that's not good enough. So we will definitely look at those two measures to be achieved firstly. Obviously, at a 1.5x and a less than $5 billion debt level, that will trigger the Board to consider the dividend. Ultimately, the Board must decide whether dividend is sustainable or can be paid out sustainable before it finally makes that decision. So for the Board, not to make the interim dividend decision was not so much on the gearing level, but the fact that the absolute debt level of below $5 billion wasn't achieved. Now we do know that we still have two rather significant or large transactions on the asset disposals. That's in the back end of it being completed. And if we're successful in delivering those two assets, which is REMCO and CTRG, we see no reason why the balance sheet at these current oil prices cannot delever below $5 billion. And of course, 1.5x will be achieved for the Board to start considering making a decision in terms of the final dividend. So, that we have a firm reason to believe that we are definitely moving towards that direction. And if the macros hold up, the pace of that will be quite speedily. So, the dividend decision, we believe, is not too far in the distant future. In terms of your third question -- or your second question on the hedging. Just remember, I think we always have to be quite careful when we look at hedging and hedging is out of the money. It just means that the rest of your product slate was very much in the money. That's the first point. The second issue on hedging is we have to protect the downside. And we are quite comfortable that our hedging program, although it's out of the money, it's still if oil prices move below that 60 level on average, we would have had sufficient cover to manage our balance sheet quite effectively and efficiently. So hence, we do believe that the hedging strategy is to prevent a black swan and to protect the balance sheet for downside risk. It's that -- it's the intention that it has. I will say, looking forward in terms of hedging and as you absolutely decreases. We will also decrease our hedging cover ratio, as we've said. And to give you a sense of we are mostly hedged 90%, 9-0 percent of our Synfuels output for this year. And for financial year '23, we are reducing those capital ratios to around about 50% on the strength of the balance sheet improving. So, we are having a dynamic mechanism that models these things and kind of the picks and informs our thinking about what is the optimal level to effectively hedge. The last question is your $30 to $35 to the barrel. Last year, we already achieved it. Unfortunately, this year, although our cost structure mostly hold due to the fact that we didn't had the benefit of higher volumes, it did -- our cash track even did increase above the $35 level. We do believe as we restore the baseline back to its historical levels, and we might still confirm that when that's going to happen, that, that will help us with the Sasol 2.0 initiatives to start moving back to that $30 to $35 level. And there's no reason why we cannot achieve that going forward. So hopefully, that answers your questions. I don't want to endeavor on where the oil price is going. It's quite volatile. There's lots of geopolitical risk that's still weighing in on the oil price, but in terms of our forecast, we did provide those ranges that we'd still see a $70 to $80 oil price environment as potentially playing out in the next couple of months. But where it's going to be next year, I guess your guess is good as mine. We probably need to wait and see. I think when we look at our business. We are quite robust to manage our business in a $55 to $60 oil price environment and I think that's what really what matters.
Tiffany Sydow: Thank you, Paul. Next two questions also on the balance sheet. From Stella Cridge with Barclays, you discussed today your intention to pay down short-term debt. Could you talk about any plans to the fore maturities in 2024? And the second question is from Dennis Gregory from Fosun Eurasia. However, could you please tolerate touch operating agencies for potential ratings upgrade, which is very likely to take account lower leverage? Do you see any long-term chance to become an IG-rated company?
Paul Victor: Thank you very much. I think it's two very important questions. So, first and foremostly, Stella, we always want to enhance our objective to smooth our maturity curve over the next 10 years to ensure that we do remove this Manhattan kind of a maturity curve that we currently have. Over the past four or five years, we've actually been quite successful in starting to spread the debt. And in our analyst book, you can actually quite -- you can see what the efforts of those are. We still have put a financial year '23 and '24 two big maturities, which we need to address. And so we will kind of go to the capital markets to raise further debt in an effort to rebalance our debt maturity. Also through the cash flows that we generate, and hopefully, for the next 6 to 12 months, the cash flows that we generate will be quite successful in paying down more debt that we have, but we don't believe that we've got an immediate risk in terms of our maturity profile. But as I've said in the next 12 months, we definitely need to go to the capital markets to raise more debt. And then we also need to look at RCF as we start to pay that down in our bank term facility, what portion of our debt balance needs to be refinanced through a RCF facility in future. And so those, we will also consider over the next couple of months in which shape or form we want to refinance that. But no immediate risk, we're actually in a good position. The second question, Dennis, is quite important as our metrics start to dip below and some of them well below the IG metrics that the rating agencies have. Of course, the rating agencies look at the sustainability of these metrics going forward, I think, first and foremostly. And then secondly, they also got other metrics by looking at the sector in which we operate, what the sources of cash flows that we generate in terms of the sovereign. And those are other aspects which they're also take into account to finally assess our rating. So we're quite hopeful that our business is recovering quite well. Our balance sheet is getting off risk. But it doesn't take away that the sector risk as well as the sovereign risk needs to be addressed in the sectors and the jurisdictions that we operate. We will be engaging with the rating agencies over the next couple of weeks and months. And hopefully, they can favorably consider the progress that we've made. But at this point in time, we still await kind of the evaluation and feedback on our organization. But we're quite hopeful that there will definitely be some positive moves in this direction on the basis of our own balance sheet metrics that's significantly improving.
Tiffany Sydow: Thank you, Paul. The next theme of questions thank us around our operational performance. And I'll cover two questions at a time as some of them are quite easy. The first question comes from [indiscernible] at Financial Mail. There have been some suggestions that Sasol splits its business into local and international operations in order to extract value for shareholders. Is that feasible or even in your cards? And the second question from Adrian Hammond at SBG Securities. Please update us on the status of the coal quality issue and implementation of Fulco. Our stock levels restored yet to help with blending? And I think -- sorry, to take another question on the stockpile levels as well, also from Herbert Kharivhe at Investec. Please provide an update on the current coal stock levels. How far are you away from 1 million to 1.1 million plan started?
Fleetwood Grobler: Thank you, Tiffany and Juliet, Adrian, and we'll deal with those three questions now. So the interesting say at the outset, we will always challenge ourselves to think about the right structure for the business. And I believe every organization should have an open mind on various issues. But at this stage, if I reflect on where we are, I think all our focus needs to be on delivering our objectives like Sasol 2.0, which will create value right across the business leveraging experience and capabilities right across the group. So to split the business without having regard to this value that we're in the midst of creating, I think this must provide for you some clarity. Because I'm conscious that speculation on this topic is really unhelpful for our employees, customers and other stakeholders. I hope that gives you a context of how we think about it. It's a question that we will always have to deal with, but timing now is not for us conductive. So when I reflect on the coal quality and implementation of Fulco, there are definitely a number of areas that we have to consider in our approach. And what have we done with respect to coal quality over the last period since we spoke in August? So we are pursuing several levers to address coal quality. So first is to create a better understanding of our coal reserve and the impact on the ideal coal blend for our Secunda operations. And it's very much aligned with our understanding that you want to reduce sinks. And so that's a key element. The other lever that we're pursuing is to get a sweeter and a cleaner cut of the middlings that we can affect through the watching of that to cut the middle cut much more closer so that you can get -- have better yield with more discard or it's a lower yield, but there's more discard that you don't feed into Secunda. The other lever that we're pursuing is to buy in coal with a better quality than we can mine ourselves. So the requirement on coal purchases, the quality of that, we put some quite focus on that so that we can get better quality in. And then, of course, where we are deploying sections into better coal quality areas, we are focusing on that. This is taking longer. But we've embarked on that deploying of sections into better areas. And of course, when you pull those levers on top of that, I've got the flexibility that our stockpile can provide if it's at the level of the targets that we set, 1.3 million to 1.5 million. I think then, we'd address the coal quality, and we can manage that to a much better extent than we've been able to do that before. So let me just give you a flavor. As of yesterday, our coal stockpile was at 1.1 million tons or just over that actually. We've guided that we would, by end of February, reached the range of 1 million to 1.1 million tons. So we are tracking the upper range of that rate as we speak now. We are still confident that the ramp-up in the supplies that we've been seeing from external purchases as well as the better performance of Isibonelo as well as the improvement in productivity that we've been seeing in our own CTL mines put us well on track to get to the stockpile level of 1.5 million, 1.3 million to 1.5 million by June without being any -- without having any further impact on Synfuels at the ratable level we would like to supply the Synfuel operation, which is between 107,000 and 109,000 tons on a daily basis over the period. So that gives us quite a bit of confidence that we are tracking. On Fulco, we've guided the market that we will be between the 940 and the 1,044 tons per continuous mine per shift. As we speak, we've seen quite a nice recovery towards the upper end of that guidance in February. So, we are already seeing in some weeks, the last two weeks is my reference now, I'm seeing definitely something better than 1,044. But it's too early to say that we're going to bank that yet. But I do see the positive trend that we are operating at a productivity level on the higher part of the guidance that we did provide you in our outlook in January when we last gave you the feedback. So in summary, I think the levers are coming together. The stockpile is increasing. Our flexibility has increased. And we are focusing on better quality coal as a blend into our operations.
Tiffany Sydow: Another question also just closing of the mining team from Herbert Kharivhe at Investec. Are you experiencing geological challenges in all six mines? And if not, which mines should we expect higher CapEx for mining due to a new development plan?
Fleetwood Grobler: Very good question, Herby, and when we do look at the mines, of course, not all mines are equal. We know that the mines in the certain side of the Synfuels operation has got more higher-quality coal and singers. So it is definitely not all the mines. We are seeing in the area of Bosjesspruit, maybe more coal quality challenges compared to the other in the system. But I think the whole redeployment and the whole mining plan is still within the ranks of our long-term plan. So the optimization of that, I don't foresee some drastic changes in capital deployment to change the mining plan. And of course, we will always look at where are and how are the best reserves and sources of coal to be put into the mix for our Secunda quality needs. And we will always try and optimize for that, not only through our lean system, but also for the coal that we buy. For example, the Isibonelo coal that's under contract from Thungela Resources is also a very good quality coal that we received from them.
Tiffany Sydow: Thank you, Fleetwood. Turning over to our gas segment. There is a question on the current drilling program from Adrian Hammond. These are data on the Mozambique infill drilling program, how many of the info wells have been drilled? And will it be sufficient to avoid gas declining from 2025? Another question also related to our gas business. Gas external turnover increased by 28% compared to FY '21 half two. While national maximum gas price increased 4x. Did you guys increase the discounts of it to clients? We noted the complaints by some key customers regarding the current pricing methodology. And that comes from Herbert Kharivhe at Investec.
Fleetwood Grobler: Thank you thank you so much, Adrian and Ruby again. I'm going to ask Priscillah also to weigh in on those two questions. What I can share is that we have commenced our infill well drilling campaign last year and that we are seeing positive results. It is probably too early to give you an update whether that would help us to extend the plateau. We are going through a very rigorous testing and modeling exercise so that we can validate the results we are achieving from that in the field. And then with respect to your external turnover, I'm also deferring that to Priscillah to give you a flavor. Priscilla, you want to weigh in?
Priscillah Mabelane: Thanks, Adrian as well. In terms of the first question around term, Mozambique, infill drill. As actually mentioned, we're making good progress. So just to remind everyone, we had a total of 11 approved activities associated with the campaign. Of that, we have already started and completed four of those activities. Some of the activities included work over wells that we needed to work on. And in terms of the new wells, we have started and completed one infill well, which we're currently analyzing the data to see with some of the positive outcome of that drilling outcome is showing -- is going to be more replicated. And once that's done, we'll really the model again to understand the impact on the plateau. But with all of the information that we currently have, we are still of the view that our plateau start to decline up to 2026, which means that our underlying assumptions on the P25 of the Medic more still in line with our preliminary views and more positive. We don't see any negative outlier at this stage. We have now moved the drill. We are on our 6th. So we have moved the rig. We are on our second well, which is also showing good progress in terms of drilling. So from that perspective, it's on track. There are some challenges that we continue to manage such as compete risks as well as heavy rains, but overall, good progress. Just to also give another highlight, the P25 well, which was drilled in the previous campaign, we needed to work on the floor line connection. That has been progressed very well. It's actually due for commissioning at the end of this month. That will also give us another data set to understand how the reservoir to the operating and the analysis there of once we start doing the test with that particular line. I'm going to pause then move to the next question.
Fleetwood Grobler: Thank you so much.
Priscillah Mabelane: Yes. In terms of the NERSA, so we are in the process of engaging with our customers regarding the NERSA promulgation. From a Sasol perspective, our view stands that the process has been rigorous. We have given inputs and challenge the methodology. And at this stage, until the methodology changes, we are obliged to fully comply with it. The reason why you will not see the impact of the change in terms of the financial year 2022 is because the methodology is on a lag basis. So the substantial increases in gas prices that we're seeing will have an impact in terms of our FY 2023. We have noted that our major customers have challenged the methodology. And as a result of that, in addition to NERSA's response of Sasol, we've also since submitted our position to challenge the opposition. We continue to engage with our customers individually and to ensure that we take into consideration the individual circumstances and ensuring that there's a robustness in terms of that. So that's why we need it for this at this stage.
Tiffany Sydow: Thank you, Priscillah. Thank you. Next question pertains to our refinery. Can you achieve the new fuel specification in time in 2023 at Synfuels and at market what are your options? Several refineries have closed in the country. You have been assessing NERSA's future for a number of years now. Do you have a conclusion from [indiscernible]? And I think the second one of the gain is to the U.S. operations this is on the [indiscernible] as well. Could you provide more color on the lower volumes guided for the U.S. Chemicals business from market to oystercatcher. And in a similar vein, can you please provide some color on the chemical business outlook, some medium buy expert?
Fleetwood Grobler: Thank you so much for those questions. I'm going to kick off with the nitrate question. And I'm going to ask Brad to weigh with U.S. Chemicals outlook and color. So at this point in time, we have not concluded the option for Natref with our partner, Total. So the short answer is no. We would go to market probably in the August time with a very clear picture on how that plays out. Now to the question of the promulgated regulatory framework to have clean fuels ready by September '23, the whole refinery operator system in South Africa clearly indicated to government that, that is not going to be feasible or practically attainable. And we've indicated that it will have to be regulated much later date. So that discussion with government is ongoing, and there are certain considerations that will be given. And we hope that government can come back and give a better time line that is feasible for the bigger and the majority of refineries that's still operating. With respect to our own situation in Secunda, as you know, we are busy with over ZAR5 billion investment to attain clean fuel standards by 2025. As we ramp-up to that date, we will have some components that's already clean fuels compliant. But we will be 100% consistently compliant by 2025. And so we're working towards that date. And as I say, the Natref, we have not come to an outcome. We are busy with a number of study work angles to look at viability of options. And that is still ongoing with our partner, Total. Our target is to come back to the market around August and inform you what is the outcome we've been able to discern. With respect to the U.S. chemicals, I'm going to ask Brad. Will you weigh in for us, please?
Brad Griffith: Happy to do that. Thank you, Mark, and letting me in for the questions. As we guided recently, we've updated our guidance outlook for the U.S. volumes, primarily on the basis of what we saw in operating rates for the base chemicals assets in the U.S. related to our outage as well as some reduced production from the JV assets. Also, as we look at the outlook for the second half of the year, there is a large planned outage for the linear low density unit at the JV. But as Paul and Fleetwood indicated, our specialty volumes continue to ramp up nicely, accordingly with our plans. And we'll update the market as we go through our next PPM in terms of our outlook on the remaining asset ramp-ups. Thanks.
Tiffany Sydow: Thank you, Brad. Moving on to the progress on our asset divestment program, I can direct these two questions to Paul, please. What are your expected proceeds from planned disposals? And can you give us a range from [Sahara Malik] at Suncor. And the second question, any more asset disposals planned also for [indiscernible]?
Paul Victor: Thank you much for those two questions. So the two big assets, as I've mentioned, REMCO and CTRG, that's up for sale. The range there is between $500 million and $700 million. We also have a smaller asset that's currently in a fast stage of being completed. And that's around about least $100 million. But if all three are pretty much successful, then we can be as high up as $700 million, maybe a little bit higher than that in terms of proceeds. And hence, my comment, completing those on itself can get our debt balance from 5.6 billion at this point in time to below 5 billion. The teams have made good progress on the REMCO side. CPs have been achieved. So it's just some final matters which needs to be completed. I don't say they're less important, but there are some final matters to be concluded there. CTRG, there's also one element that needs to be finalized. But we are quite hopeful in the coming weeks, we will be getting there. And then the smaller asset, we are very much making a significant progress on also closing that deal over the next couple of weeks. So good progress in terms of that, but we'll update you towards the closure of the financial results in August how successful we were, but we're getting to the final end of that.
Tiffany Sydow: Thank you, Paul. The next set of questions is around our Sasol 2.0 program. The first question from Adrian Hammond at SBG. If cash fixed cost targets for FY '22 are unpacked, why is your gross margins cut? And the second one also from Adrian, how is it that Sasol has repaid its CapEx outlook to ZAR20 billion to ZAR25 billion until 2025, whereas the industry is increasing CapEx due to higher inflation?
Paul Victor: Adrian, the first question is a bit disingenious on the cash fees cost side because it is a little bit different, cash fixed costs and variable costs, as you know. But let me reiterate what I said during year-end when we provided guidance. Our targets for financial year '22 is ZAR58 billion to ZAR59 billion for the year, and we are sticking to those. The reason why the gross margin is off track because effectively, due to the instabilities that we have, we are lagging because our priority is to fix the baseline, and that's usually how these things work, but for the benefit of all, cash use costs are still very much on track, but we are lagging on the gross margin as a result of the instabilities. On your second point on capital, we're sticking to the ZAR20 billion to ZAR25 billion. The ZAR20 billion to ZAR25 billion was a real target for us up until 2025 because inflation again will play a role at it. Although we are quite comfortable over the past couple of years that we've seen that we can attain and manage inflation. However, I will give it to you that currently, especially on the U.S. side and globally, that inflation is a challenge. So we need to be quite alive to the fact of how to mitigate that. But especially for this financial year, we really don't anticipate inflation to play out negatively on our estimate. We usually update the estimate for the next year in August, and so we will. And the inflation considerations will then also be kind of quite deeply considered during that process. But we're still sticking to our 2025 target. Thanks.
Tiffany Sydow:
?:
Paul Victor: Good question on the first one. So ultimately, we have revealed in the past kind of what that point on LNG for us is. I think you have to respect the fact that currently, we are in negotiations towards term sheets and bringing in natural gas into our facilities. And it will not be kind of prudent for us to start to reveal these numbers as they can kind of jeopardize our own position. But once those have been confirmed and the details of that can be shared, we will do so. But we've done a lot of work to understand the breakeven levels for our different facilities, at what prices we need to negotiate to ultimately ensure that these contracts do support the economic viability of our business. So we're very much aware of those But I think it will be -- it will not be prudent to share those with you at this point in time. Secondly, the second question is quite broader because in the fuels markets and with fewer customers relative to our chemicals markets, these contracts and dispensations do differ. And in some instances, prices cannot be passed on. In the fuel sector, especially on the basic fuel price, that's usually quite regulated in South Africa, the prices set by the -- kind of by the macros. And then when one gets a little bit later on in terms of how you negotiate diesel prices as well as wholesale to retail offerings to your customers, there's a little bit of somewhat leniency in what you can negotiate. But a pass on there is very, very limited. And there's usually more other factors that at play. On the chemicals side, there are some mechanisms that do allow you to do the pass-through and some not. Again, we don't really reveal those in detail because those, we do consider as confidential. But what can usually see is if you can track our margin relative to the price increases that should give you an indication of how flexible we are in passing costs through to the customer.
Tiffany Sydow: Thank you, Paul. Moving over to our strategic questions, quite a few questions around LNG imports. If I can direct that to you please explain, please expand on your financial contracts for LNG, how does the cost of LNG compete with your Mozambique gas? And who are you partnering with? We will be spending the CapEx for a regasification terminal from Adrian Hammond and similar question from Wade Napier from Avior Capital Markets as well. I think following on from this question, something more related to the outlook. Given hired energy shortage and price volatility in Europe and the subsequent increasing LNG prices, how robust do you think the strategy is to import LNG in the future? That one comes from Gerhard Engelbrecht of ABSA.
Fleetwood Grobler: Thank you. I'm going to start off and then ask Priscillah to weigh in. So if we go back to the question Adrian on what you asked there in terms of what our partners at now? How does it play out? So first of all, we are in negotiations with partnership -- partners that that we cannot disclose at this point in time. We both decided to do this in a manner of contractual confidentiality until we jointly reach the point where we can announce the counterparties on the supply, et cetera. And then we would also make sure that, that is understood in terms of also sourced and partner. So in terms of the CapEx for the reclassification terminal, the concept that we're exploring in Mozambique is that the partner would be responsible to bring in a floating regasification option and that the partner will also ensure that there is a bridge about a pipe from the reclassification terminal to our REMCO connection. And on basis of that, we would then get the supply at REMCO supply point. That's the concept that we are exploring with our partner. And so I think much more detail. And as we said, we would like to conclude our term sheet negotiations in this year so that it enables us to be able to bring in the first gas in 2026, which is very important to see how referring on that basis. With respect to your second question, and then just make sure I see your second question again. Okay, all right. So the pricing volatility, et cetera, for LNG in the future. So also remember that that LNG is an energy source and there are linkages to references in oil and other price markers. So we have to take all of that into account. And we also need to think about how does that work on the pricing side of products that we will be producing on the blend of LNG, coal and other direct methane gas sources. And that's what Paul referred to earlier. In all the financial modeling and scenarios, we do take these into account to make sure that we have a realistic blend, realistic scenario that we also identify the linkages that are required to protect margin in product versus feedstock prices. So Priscillah, I'm going to ask if you would like to weigh in as well.
Priscillah Mabelane: Thanks, Fleetwood I think it's well covered. Just on the last point, perhaps just add, as Paul mentioned, that these are competitive pricing. What is encouraging is that the temp sheet that we're currently negotiating, which is going to be crude price linked, the range that we are negotiating at is really competitive and in line with the expectations that we've shared before. And we continue to look at the spot prices and the challenges. But in our mind, it is quite clear that in the long time, especially post 2026, the long-term contracts that will bring into South Africa for our operations are better competitive rates.
Tiffany Sydow: Thank you, Priscillah. Thank you. A question relating to our people. Are you now at an optimum headcount level? Or do you expect more people will leave the business? What is the quantum of severance payment included in half one that will not recur in the future? This comes from Gerhard Engelbrecht at ASBA.
Fleetwood Grobler: Yes. Thank you, Cara. I think it's a very interesting question because there are many lenses that you need to look at headcount level. So first, may I just say when we embark on Sasol 2.0, and I'm going to ask Marius also to way in on this question and the answer that I'm positioning now on the first part of your question, So when we embarked on 2.0, we looked at a clear benchmark of our current operations and where we are. Of course, if we have got a strategy to further our green hydrogen ambitions in South Africa or our Sasol ecoFT business, that was, of course, not part of the baseline, and that would be justified on the new strategy and new business opportunities, et cetera. And those headcount numbers will then be added to address and resource those new business opportunities. But we are managing quite, I would say, diligently the business case of 2.0. And any additional headcount that we require as a result of new opportunities, that is being managed separately. So that is the important part. Also, where we are looking at the headcount level, that is further enabled by technology and digital. Of course, those headcounts are not fully reflected yet. And we believe that, that could play out over the next year or two. But those will be basically within the realms of the natural turnover levels that we would be able to manage those future reduction in business, digital business opportunities, which we implement. And then, of course, last but not least, when we embark on the business case for Fulco, we had also the increase in headcount to man up to be able to unlock that 24/7 levels in terms of that part. So they are many moving parts. But suffice to say that we need to be very clear how we measure and how we track all of these various elements that make up headcount as you run the business. So to your question, what was the evidence payment included in half 1? That was an amount of around ZAR200 million. So, Marius, is there anything else that you would like to weigh in on?
Marius Brand: No, I think you've covered it well, Fleetwood. I think we are well on track. Just apples with apples compared, and I think we were lucky over the period that we also had low turnover in certain areas, but for reductions really in the order of about 2,800 since we started. This year, we have roughly about 700 employees that exit in the first half, which is quite a number. The remaining portion is not roughly -- about another 400 people that are now just in contracts and in positions still about the end of FY '23. So those, you could see is quite a lower number compared to, I think, the biggest transition that has really taken place. I’ll pause here. Thank you.
Tiffany Sydow: Thank you, Maurice. Thank you, Fleetwood. [Operator Instructions] There's a question that came from [indiscernible]. For this month, will you redo share buybacks rank relative to dividends at the current valuation? And would the Board consider a combination of both given the current hedges in place on the unexpected balance sheet position?
Paul Victor: Thank you. Thanks for the question, Becky, I hope you well. I haven't seen you in a long time. So ultimately, in terms of the share buybacks, I just want to take you back to our capital allocation framework that we did share at the Capital Markets Day. And in terms of our order of capital, we were quite clear in the way that we want to allocate it. I think first and foremostly, it is the -- the first stage of the cash flows will be the Sasol's capital, transition capital towards the 30% CO2 reduction. Those are the first stages of capital. Then the minimum dividend is the second taker of the capital. And that is at a minimum of the 2.8x core headline earnings per share. So that's on the second taker. And then thirdly is where we then need to balance up, Becky, is to say that the remaining capital is what is -- what can you invest in your company from a growth capital perspective. And then ultimately, do you consider a higher dividend -- increasing your dividend? Or then do you effectively consider a buyback? It's really at that stage that you need to decide how you're going to award your shareholders further or whether you're actually going to invest it in draft capital. So we -- as you can appreciate with our future ambitions in terms of green hydrogen and the investments required there versus a high dividend versus share buyback, we're still in the throes of evaluating those. But just principally, from capital allocation, that's the way that we think in a way that we weigh up these options. I think what is also quite important is that you cannot save yourself long term into profitability. And although these big programs that we have to improve the effectiveness and the efficiency of the business will only take us thus far, there is an element of reinvestment required in the business as well, obviously at the market-related return rates. And I think we need to kind of be alive to those when we look at capital allocation relative to share buybacks. But investing in projects that will destroy value doesn't makes sense either. So I think those are the competing forces before you make a decision on share buybacks and investment. Hopefully, in future, we can do all of those. But if you are limited on capital, this is the way that we think about it principally.
Tiffany Sydow: Thank you, Paul. I think we have one more question coming through. Just checking the question marks. From Adrian Hammond at SBG, do you expect Synfuels to return to normal volumes in FY '23, i.e., the 7.6 million to 7.8 million tons? If Natref shuts down, what are the implications on Natref [indiscernible]?
Fleetwood Grobler: Yes. I think, Adrian, that's a very important question that you asked. And so you have to take into account that we have to have deliver the guidance that we've indicated. Of course, we will not start at the baseline to which we indicated in December. But the results of Fulco, the results of the remediation and business recovery program, all of that are now being taken into account. As you know, we are now in our budget cycle for FY '23. And I think it is premature to give you now an expectation or guidance in terms of what that volume will be and what is normal and how do we see all of that. So I would rather ask that you bear with us that we give you a firm update of the volume guidance as we conclude this budget cycle. And therefore, in August, we will provide that level of detail, and we will also give you the rationale of that number that we will put forward. So give us that bit of time to just work through those next six months complete our budget cycle, and we will deal with that in terms of the outcome. So your question with respect to what will happen if partner shuts down in terms of the supply, et cetera. And I think it is clear. We have a very clear commercial, wholesale as well as retail channels that we will sell into. Those areas are well covered through agreements, commercial agreements that we have. And I do think that, that will have to play out on the commercial terms. So I think what we foresee is that we would definitely not now just follow suit. We are invested in Synfuels. We are invested in South Africa. And therefore, our plans does not include to not do any refining of fuels in South Africa. To the contrary, I think we have got a good opportunity to supply the volumes from our Secunda operations at ratable clean fuel quality as well as quantity. And as I say, Natref is premature to give you any answer. You'll have to bear us out to August, and we'll give you the outcome of being. So I think that is -- that's where we are. And then I see there's another question from [indiscernible]. Are you still assessing the coal volume require and ramp up? How confident are you that simple will be producing at that optimal level in FY '23? So our guidance for the 6.7 to 6.8 at this stage are tracking well. And as I mentioned, we have to bring in all of the lenses with respect to our Fulco, our purchase coal, our economic blend out of sources, and then say, okay, what is the optimal processing capacity in Secunda. What is clear that even at the coal price level of ZAR500 a ton, it still makes sense to rather send it to Synfuels for processing than to throttle Synfuels on that price level of coal. So I think we will take that also into account and to see how we can optimize the total output out of the value chain rather than to focus only on one area, mining or Synfuels. We have to look at the value chain and to maximize value out of that with all the levers that we've got at our disposal and the results of how we deliver Fulco over the next period.
Tiffany Sydow: Thank you, Fleetwood, for the additional question, moving back to the financial results. I think we've had another question for Paul from Sashank Lanka of Bank of America. EBITDA generation for first half was still driven mainly by SA accounting for about 80%. How should we look at this contribution once all the U.S. asset ramp-ups and operations get back to normal? And two, is there an update on carbon tax?
Paul Victor: Hope you're also keeping well and hopefully to see you also in face to face over the past -- over the next couple of days. Yes, 100%, when oil prices were so elevate or also elevated as we see currently, we know that our South African value chain will shine relative to the other assets just because of the feedstock advantage that we have in South Africa. So oil prices at these elevated levels will always make sure and ensure that the South African value chain relative to the rest of the assets are at these levels. But if I focus on where we are with the U.S., the U.S. generated that ZAR3.8 billion, or shall I say, $220 million for our 75% portion of the asset in the U.S., which is a significant step and a tremendous effort by the team. It puts us very close to that $500 million run rate on an EBITDA level over a year. And the plants are still ramping up, and that's despite having the turnarounds. So we are very much moving towards that $700 million to $900 million of EBITDA run rate as we communicated to the Capital Markets Day. And at those levels, the contribution of the U.S. with Europe will obviously make a much significant contribution relative to the asset portfolio. So ultimately, if oil prices kind of normalize more towards the $60, $70 level, let's take that as an assumption. And then we do very much see that the U.S. and Europe can contribute as much as 35% to the group's overall profitability. We had to adjust that as a result of the fact that we did sell down a portion of the asset to LYB. And if you want to take that into account at those assumptions, you will definitely see a much larger contribution of our international chemicals businesses to the overall earnings contribution of the business. On the carbon tax side, we're still very much engaging quite heavily with -- through the industry with treasury. There's definitely a willingness to listen and to anticipate how carbon tax can be interpreted in terms of the carbon budgets in South Africa. So we are also quite eager to see what the delivery in the budget speech will be in the next couple of days. And hopefully, that will provide more clarity when the Minister of Finance speaks to the nation about carbon tax and its future. So I don't want to preempt that. I think over the next couple of days, hopefully, we'll get much more clarity on this specific aspect in terms of our business.
Tiffany Sydow: Thank you, Paul. I think our call is going to a close. So we can't see any more questions coming through the platform. Thank you all that have submitted your questions and for your time to dial in to this afternoon's call. We thank you for your time. I will close the call.